Operator: Good day, ladies and gentlemen. Welcome to Vista Gold Second Quarter 2014 Financial Results and Mount Todd Project Update Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions). As a reminder, this conference is being recorded today, Friday, September 12, 2014. It is now my pleasure to introduce Vista's President and CEO, and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest.
Fred Earnest: Thank you, Angela. Good afternoon, ladies and gentlemen. Thank you for joining Vista Gold Corp's 2014 Second Quarter Financial Results and Mount Todd Project Update Conference Call. I am pleased to be joined on this call by Jack Engele, our Senior Vice President and Chief Financial Officer, and Connie Martinez, our Director of Investor Relations. Both of them are joining me on the call this morning from our corporate office in Denver. Since our last call, we have achieved a very significant milestone with the completion of the environmental impact statement process for the Mount Todd Gold project. This means that the permitting risk at Mount Todd has now substantially reduced and the remaining permitting process is well defined. This sets Mount Todd apart from most other large undeveloped gold projects. Following months of work on water models and discussions about potential project scope, the government of the northern territory of Australia has committed non-recourse funding for the first year of a proposed multi-year program with the objective of reducing the inventory of water at the Mount Todd site through a combination of water remediation and the subsequent discharge of remediated water in accordance with the corresponding permit. We are working with the government on detailed plans and budgets at the present time. Our balance sheet is improving and our cost cutting efforts are yielding better than expected results. We remain optimistic about rising gold prices in the longer term. We continue to take steps to make the Mount Todd Gold project a shove-ready project, optimized for fast track development when the markets improve. We are also ensuring that we are well positioned to weather this current downturn. Despite recent weaknesses in the gold sector generally, we are pleased with the year-to-date performance of Vista Gold Corp., compared to the GDXJ. We are hopeful that the market is now beginning to recognize the tremendous value potential that Mount Todd offers. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed or implied by such statements. Please refer to our Form 10-Q for a detailed discussion of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. I will now turn the time over to Jack Engele, and following his discussion of the financial results, I will provide discuss our progress of the Mount Todd Gold project.
Jack Engele: Thank you, Fred. Good morning, everyone. I will start with balance sheet. Our cash and cash equivalents as of June 30, 2014 totaled $5.7 million. Our working capital at June 30th totaled about $14.2 million. The company continues to be debt free. In July, we agreed to extend the due date for the final $6 million payments of Invecture, the Los Cardones project in January 2015. As consideration for this extension Invecture paid us $0.5 million in cash. Turning to our statement of income and loss for the June 30, 2014, for the three-month ended June 30th, we reported a net loss of about $2.9 million or $0.04 a share. The main components of this loss includes operating expenses of $2.2 million and an unrealized mark-to-market loss of about $600,000 on our Midas shares. Our Q2 operating expenses included about $1 million of expenses incurred mainly at Mount Todd. Most of these expenses were associated with site water management and environmental monitoring. This represents about an 83% reduction from Q2 2013 costs, which included water remediation and discharge from the Batman pit and working on the pre-feasibility study. In addition, our 2014 costs include the effects of our cost cutting initiatives. Our Q2 operating expenses also included about $1.1 million for corporate G&A costs. This is down about 11% from Q2 2013. Here again, the effects of our cost cutting initiatives are evident. Looking ahead, as Fred mentioned, after a month's work, the government in the Northern Territory has committed to funding the first year of the proposed multi-year program with the objective of reducing the inventory water at the Mount Todd site. We expect, with the NT's collaboration will provide with better clarity and pt stability in terms of the programs and associated costs at Mount Todd, for which we are responsible, which do not affect the cost-cutting measures that we have implemented for 2014. For the remainder of 2014 and the first quarter of 2015, we expect our cash burn rate at Mount Todd average $800,000 to $900,000 per quarter, with that amount being reduced perhaps by as much as $200,000 per quarter later in 2015. This guidance makes certain assumptions about the scope of the NT government's involvement, which remains to be fully defined and it assume that will not introduce any discretionary program during this period. Just as a point of clarification, the scope and timing of any material discretionary programs during our exploration licenses for example would be governed by the availability of funding for such a program. I will talk more about future funding in a moment. Our 2014 corporate G&A burn rate remains in line with previous guidance at around $800,000 to $900,000 order per quarter through the remainder of 2014. With our cost well under control, we believe our current cash position will finance us through the first quarter of 2015 and we believe we have access to non-dilutive funding that could finance the company well into 2016. We expect to receive payments of $350,000 and $500,000 in September, that is later this month and in January 2015, respectively, from Cangold Limited, the company that has the option to acquire our Guadalupe de los Reyes Project. The final $6 million payments for the Los Cardones project is due for manufacture in January 2015. We believe, the significant investments that Invecture has made in this project, including payments of $9.5 million already made to Vista, is indicative of Invecture's commitment to this project. Our Colomac mill equipment remains for sale through A.M. King Industries. There has been some interest, but no satisfactory offers as yet. We continue to be optimistic about the timely sale of this equipment for a fair price. In the event of these non-dilutive sources of finances do not materialize we have reasonably within our control working capital that we can monetize. We view this as a fallback position and not a preferred source of non-dilutive financing. Just the final comments, we had a lot of enquiries about the purpose of our shelf registration statement filed in July. This filing was done to replace and expiring shelf registration statement. As a matter of sound business practice, since we have had our shelf registration in place since 2009, the purpose of the shelf registration continues to be to preserve our ability to efficiently complete future equity financings for corporate growth and development if and when appropriate in context of content strategy and pricing. We have no current intention to sell securities under the shelf at current prices. Our focus remains on non-dilutive sources of financing. That concludes my comments. Fred will now give you an update on recent events at Mont Todd.
Fred Earnest: Thank you, Jack, for reviewing Vista's financial results for the second quarter of 2014. The successful conclusion of the Mount Todd EIS process is a significant achievement for the Mount Todd Gold project and marks the end of the detailed process that started in 2011. Following the submission of a plan of operations and the subsequent receipt of EIS guidelines from the Northern Territory Environmental Protection Authority, just to [embark] on the collection and analysis of baseline data in the project area. This was followed by the development of environmental management plans and the subsequent preparation of the environmental impact statement. The initial review process involved agency review and public consultation. Vista subsequently incorporated responses to all comments both, from the agency and the public in the preservation of the final EIS. Detailed agency and inter-agency review resulted in several requests for additional information, which were addressed to the satisfaction of the Northern Territory Environmental Protection Authority. The EIS review process concluded with the publication of an assessment report, which can be found on the website of the Northern Territory Environmental Protection Authority, under the title Assessment Report 76 Mount Todd Gold Project. Two principle permits remain to be completed. The authorization required under the Environmental Protection and Biodiversity Conservation Act of 1999 or EPBC act from the Federal Department of the Environment and the line operating permit known as the Mine Management plan or simply the MMP from the Northern Territory Department of Mines And Energy, both of these are administrative processes not subject to public comment. Authorization under the EPBC Act is related to the Goldie and Finch, which has a well-documented breeding area to the northwest of the project in median [Berry Hills]. The Mount Todd project has been designed to minimize any potential impact to the Goldie and Finch, with less than 2% of its habitat being affected by the project. The development of the project and the reclamation of the waste rock dump presented opportunity to increase the habitat of the Goldie and Finch in the long-term. The authorization under the EPBC Act requires additional field studies, which we plan to conduct during the breeding season in the second quarter of 2015. These studies are supplemental to similar studies that we completed in the second quarter of 2014 for the environmental impact statement. We expect the EPBC Act approval process to occur over a three to four-month period subsequent to the submission of the required document and study results. The Goldie and Finch breeding area was identified prior to the start of any mining activities that Mount Todd and has been extensively studied over the last 20 years. At this time, we have no reason to believe that the authorization required under the EPBC Act will not be granted in a timely manner. We have already substantially advanced the preparation of the Mine Management Plan. The assessment report prepared by the Northern Territory Environmental Protection Authority at the conclusion of their review process contains 28 recommendations. We will address each of these recommendations in the preparation of the Mine Management Plan. The Mine Management Plan will be submitted to the Northern Territory Department of Mines and Energy for review and approval, and upon approval, will become the principal permit for the project. We expect the approval of the MMP to require six months after the submission of the plan. It should be noted that submission of the MMP must be preceded by the required authorization under the EPBC act. The successful completion of the EIS process is obviously a very significant milestone in the Mount Todd project. We are now able to move forward with the acquisition of the final key project authorizations, which procedurally are dependent on the successful conclusion of the EIS process. In comparison to the cost involving completing the EIS process, which span a period of over three years. The cost of securing authorization under the EPBC Act in the MMP approval will be considerably less. We have budgeted approximately $100,000 for the studies and authorization under the EPBC Act, and are working internally on the MMP documents. We believe that current market conditions provide us with a unique opportunity to have the Mount Todd project positioned as a shovel-ready project when the markets improve. I would like to take this opportunity to discuss a very significant development regarding our working relationship with the Northern Territory government. As you will recall, the Northern Territory government is responsible for the pre-existing environmental liability of the Mount Todd site. Until such time, as we have received the appropriate permits for the development of the project and have made a definitive investment decision, I want to assure you that the completion of the EIS process is not, and I repeat, is not a triggering event. In fact, over the last six months, we have been working with the NT government to define a program aimed at reducing the total volume of acidic mill, our first drainage stored on the Mount Todd site. The NT government has recently committed funds for the first year of waste plan to be a multi-year program. This will get the program to be funded by the Northern Territory government between now and approximately at the end of July next year includes additional water treatment which is expected to start in the next several weeks. The discharge of remediated water in accordance with applicable permits, subsequent environmental monitoring analysis and reporting and evaluations designed to aid in the definition of the scope of work for subsequent years' programs. This multi-year program should allow us to keep our Mount Todd holding costs and predictable ranges while advancing the project in other meaningful ways. We are very pleased with the approval of the program by the NT government and the associated funding. In particular, we are pleased with the spirit of collaboration that we enjoy with them. This demonstrates our joint commitment to sound environmental management at the Mount Todd site and the NT support for the ultimate development of the project. We look forward to working with the Department of Mines and Energy in the management of the present program and the development of scope for subsequent programs. Looking forward, the Mount Todd Gold project is positioned to move forward in an improved gold market. We are undertaking a process of internal project review and optimization, together with the government. We are evolving plans to treat discharged water from the Batman pit as well as other areas on-site with the goal of reducing the water inventory on site by 70%. We believe there is an opportunity to convert part of the Quigleys resource, but Quigleys says a satellite deposit to the Mount Todd project to proven and probable reserves. We are currently defining a program that could allow us to report reserves at the Quigleys deposit and schedule higher grade feed to supplement the Mount Todd mill feed in the first year of the proposed project life. As you will recall, the engineering studies for the preliminary feasibility study in May 2013 were completed to feasibility study standards, except in the areas of process plant piping, electrical and instrumentation design. I hope that you will appreciate that this remaining work can be completed fairly quickly, thus allowing us to obtain new codes and complete a feasibility study level financial analysis in the relatively short period of time of six months or less. The Mount Todd project continues to provide significant leverage to improving gold prices for our shareholders. In conclusion, I am pleased with the milestone objectives that we have achieved recently. We believe these are important steppingstones to the ultimate development of the Mt Todd Project. Your management team is committed to advancing the Mount Todd project to shovel-ready status in order to be able to take advantage of an improvement in the gold market. We remain bullish on the long-term price of gold believe that Vista continues to provide its shareholders with exceptional leverage to improving gold prices. We are taking the appropriate steps in this market to position the Mount Todd Gold project, which is Australia's largest known undeveloped gold resource for development of the right gold price. We remain focused on the effective use of financial resources and expect to continue to maintain a solid balance sheet without further dilution to the Vista shareholder. We believe that the Mount Todd project now with permitting risk significantly reduced and the remaining permitting process well-defined makes Vista a compelling investment opportunity. This concludes our prepared remarks. We will now respond to any questions from participants on this call.
Operator: (Operator Instructions). We have no question at this time. I will hand it back to Mr. Fred Earnest for closing remarks.
Fred Earnest: Angela, thank you. I would like to just take this opportunity to thank all of you who have joined the call this morning. We are very excited about the progress that has been made recently. I would take this opportunity just to say that the Vista Gold will be attending the Denver Gold Group meetings in Denver, Colorado, next week. I will be presenting at that conference and look forward to meeting many of our shareholders and potential new shareholders at the conference. Again, thank you very much for your interest in Vista Gold and thank you for your time in participating in the call this morning. Have a great day, everyone.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line and have a great day.